Operator: Good day and welcome to the Capital Senior Living Third Quarter 2016 Earnings Release Conference Call. Today's conference is being recorded. The forward-looking statements in this release are subject to certain risks and uncertainties that could cause results to differ materially including, but not without limitation to, the Company's ability to find suitable acquisition properties at favorable terms, financing, licensing, business conditions, risks of downturns and economic conditions generally, satisfaction of closing conditions such as those pertaining to licensure, availability of insurance at commercially reasonable rates, and changes in accounting principles and interpretations, among others, and other risks and factors identified from time to time in our reports filed with the Securities and Exchange Commission. At this time, I'd like to turn the call over to Mr. Larry Cohen. Please go ahead.
Larry Cohen: Thank you. Good afternoon to all of our shareholders and other participants and welcome to Capital Senior Living's third quarter 2016 earnings call. I want to thank our strong team at Capital Senior Living communities across the country for providing our residents with exceptional service. I am extremely proud of their hard work and dedication. It is our talented employees that give us such great confidence in the future of our company and the continued quality care we provide our residents, and the long term value we are creating for all of our stockholders and other stakeholders. Our third quarter 2016 results were supported by the continued implementation of our clear and differentiated real estate strategy to drive industry-leading growth and superior shareholder value. We also made steady progress in the third quarter on important operational and corporate objectives related to positioning the company for sustained growth, including the announcement of the strategic purchase of four communities we currently lease as we look to continue to increase our real estate ownership. Our third-quarter results were impacted by two non-controllable items attrition and healthcare claims. We experienced very strong demand in the quarter with same community move-ins increasing 5.4% of our strong third quarter of 2015. However same community attrition increased unusually high 9.5% during the quarter, which impacted occupancy and revenue. Our September results were outstanding with an increase in same-store net deposits of 6.4%, a 7% increase in move-ins and attrition kept pace with September of 2015. Our sustained level, strong demand is clearly evident as the three highest months for move-ins in the company's history occurred in June, August and then September of 2016. We had a company record of 500 move-ins, a milestone for Capital Senior Living in September. As I mentioned on our last earnings call, our prior company record number of move-ins occurred in June with 478 move-ins and we had 469 move-ins in August. These continuous strong demand metrics are a testament that we are not facing new supply pressures in our geographically concentrated regions. It also appears that the high attrition experienced in July and August were anomalies. Not counting these two months, we had averaged 404 monthly move-outs over the past 12 months, including September of 2016. Uncharacteristically, we had 437 move-outs in July and 468 move-outs in August with 106 more same-store move-outs in the third quarter of 2016 compared to the same quarter in 2015. Third quarter 2016 move-out reasons were in line with third quarter 2015 with 71% of move-out in both quarters resulting from death or high levels of care and move-outs to competition dropped from 4.1% in third quarter 2015 to only 2.5% in third quarter 2016. Capital Senior Living is well-positioned to drive growth and long-term shareholder value and our outlook is supported by the fundamental strength of our business model. We are attractively positioned in the highly fragmented senior housing market and we are uniquely positioned for continued success. We have a capital plan that reports our long-term growth initiatives and a track record of strong growth. We remain laser focused on executing on our long-term sustainable real estate focused growth strategy. The main pillars of our strategy includes continuing to pursue accretive acquisitions, increasing our owned portfolio and converting units to assisted living and memory care. The management team and I firmly believe that these three areas of focus will pave the way for sustainable organic growth over the long term. From an operational perspective, achieving core organic growth is at the center of everything we do. Increasing occupancy rates, driving pricing improvements and executing on cost containment initiatives are all key to that objective. We are pursuing occupancy improvement where opportunity exists and increasing average rents through market and as rent increases, as well as level of care charges. We are also diligently and proactively managing our expenses and through renovations and refurbishments, we are enhancing our cash flow, maximizing our real estate value and driving higher overall revenue. Acquisitions continue to remain a core component of our plan to drive shareholder value. We have a proven track record of strategically abrogating local and regional operators in geographically concentrated regions and our success in acquiring high performing communities at attractive terms is a testament to our ability to effectively source and close deals. This disciplined and strategic acquisition strategy leverages our strong reputation among sellers, our robust pipeline of near to medium term targets. We're deploying our cash into strategic immediately accretive acquisitions that are projected to generate more than a 15% annual return on equity. With the scheduled closing of a transaction tomorrow, we will have completed more than $138 million of acquisitions this year and announced today an additional $85 million of acquisitions expected to close in January 2017. We are conducting due diligence on additional acquisitions of high quality senior housing communities and states with extensive existing operations. Going forward acquisitions will remain a key component of our capital allocation strategy. With these announced transactions, we continue to increase our owned real estate portfolio and we continue to believe that the ownership versus lease model provides significant strategic and financial benefits. Capital Senior Living is one of the largest senior housing owners by percentage and since 2010, our real estate ownership has increased from 32.5% of our total portfolio to 61.2%. By increasing our own portfolio, we will be better positioned to generate significant and sustainable cash flow and real estate value, optimize our asset management and financial flexibility and enhance our margin profile. We are confident that increasing owned portfolio over time is an effective way to increase the long-term value we are delivering to our shareholders as a focused real estate company. We also have a long history of driving significant occupancy improvements through accretive conversions. Currently approximately 784 units are out of service. When stabilized these units are expected to contribute approximately $31 million of revenue, $11 million of EBITDA and $7.5 million of CFFO on an annual basis and the lease-up of our recently opened conversions has been excellent. During the second quarter of 2016, we opened 21 units of memory care at one of our communities that is being repositioned of which 19 units are currently occupied. We opened 10 units of memory care at another community earlier in October and nine units are currently occupied and 66 units of assisted living and memory care opened at a third community in October and we already have 40 scheduled move-ins or deposits. The senior housing market offers attractive long-term fundamentals including support of population and demographic trends, a highly fragmented industry and a constructive operating environment. Senior housing occupancy levels are stabilizing across the United States. Senior has rent growth is at a seven-year high and we are seeing a tapering off in industry supply across the senior housing market. Capital Senior Living is well-positioned at the intersection of these industry trends. With that said our positioning extends beyond just the senior housing industry. Given the pure play, private pay nature of our business model, we are in many respects supported by the same industry-wide drivers that impact the multifamily and lodging sectors, while historically providing investors with higher returns. In fact over the past 10 years, senior housing has yielded 11.9% annualized total return on investment versus lodging with a 6.5% and multifamily with 7.3% returns. While competition is a factor in any healthy industry, we benefit from a concentrated portfolio that is geographically situated outside the top 10 MSAs with the highest level of construction activity. In fact more than 96% of our portfolio is situated in MSAs with limited new construction and in those markets with the highest level of construction activity, our average occupancy is 94%, as our average monthly rents are significantly below those of newly constructed communities. Furthermore we operate in markets with high barriers to entry. When comparing our average rates in many of our local markets versus the cost per unit of new builds, it's clear that any new entrant in our core markets will be challenged to generate a sufficient return on investment to justify creating any new supply. Our differentiated strategy of providing only affordable high quality senior housing and not healthcare ancillary services enhances our competitive advantages as our monthly average rents compare favorably to the cost of living at home with the additional cost of home healthcare and recent studies show that the cost of home healthcare is rising more rapidly than the cost of seniors housing. As Carey will discuss we are not facing the same wage and expense pressures that Brookdale announced today no one at home health and other healthcare companies are facing and our private pay strategy insulates us from government reimbursement risk. With strong industry fundamentals and improving economy and limited exposure to new supply we see a large runway of growth opportunity ahead of us as we execute on our plan. Turning to the transactions we announced in our press release, we recently completed the acquisition of two senior housing communities for a combined purchase price of $45 million in late September. We are scheduled to purchase another community tomorrow for $29 million. We expect these transactions to be immediately accretive resulting in approximately $3 million of increased annual CFFO and increase revenue of approximately $18.4 million. They will also increase our geographic footprint, expanding our operations in Texas, Massachusetts and Ohio. In addition, we announced a transaction with one of our landlords to purchase four communities that we currently lease for a total purchase price of $85 million. This transaction increases our owned communities and we are having discussions with other landlords that might further their strategic goal. Importantly, this transaction will result in incremental CFFO of approximately $1.9 million and provides us the flexibility to reposition communities and pursue accretive capital expenditures while eliminating expensive leases with approximately 3% annual rent escalators, which ultimately means that we will generate more sustainable cash flow, maximizing our real estate value and create a stronger margin profile. We are currently working on conversions of 169 units and renovations at three of these communities that are expected to be completed in the first half of 2017. When stabilized we project that these conversions will contribute an additional $3 million in CFFO. This transaction will also increase the percentage of our owned real estate from 61.2% to 64.3% of our portfolio. Touching briefly on capital allocation, each of the key strategies we discussed, create value through either organic or accretive growth in margin enhancement. The acquisitions and conversions we described will contribute to enhance cash flow and by strategically allocating capital back into our owned real estate will improve revenue growth for years to come. Importantly this means funding growth without raising equity or accessing the capital markets and we are confident that our disciplined approach will create the most value for our shareholders over the long term. In conclusion we remain focused on our growth plan to maximize financial flexibility through portfolio ownership, improving profitability through margin enhancement and improving the cash flow generation of our existing portfolio. As we continue to evaluate strategy -- strategic opportunities and invest back into the business, we are creating a solid foundation for long-term growth and value creation. It is my pleasure now to introduce Carey Hendrickson our Chief Financial Officer to review our company's financial results for the third quarter of 2016. Karen?
Carey Hendrickson: Thank you, Larry and good afternoon, everyone. Hopefully you have had a chance to review today's press release. If not, it's available on our website at www.capitalsenior.com. You can also sign-up on our website to receive future press releases by email if you'd like to do so. As Larry noted our third-quarter results were significant impacted by two non-controllable items unusually high healthcare claims and unusually high attrition, which together reduced our CFFO by approximately $1.5 million, which would represent $0.05 per share if one would have calculated on a per share basis. If not for these two non-controllable items, our CFFO again as calculated on a per share basis, would've been better than expectations at around $0.45. As Larry noted in his comments, the demand in our communities was very strong in the third quarter with a record number of move-ins in September. The number of move-ins in our communities during the third quarter was up 5.4% versus the third quarter of last year on a same community basis with normal attrition that strong demand would've translated into significant growth in occupancy and revenue. However our attrition was up at a greater rate than our demand up 9.5% over the third quarter of last year with 106 more move-outs on a same store basis in the third quarter of this year than last year. We've looked at the third quarter attrition closely and there's nothing specific we can identify as it relates to geography or specific health concern. As a result of an unusually high attrition, our consolidated occupancy for the third quarter was flat versus the second of 2016 and was down 50 basis points from the third quarter of 2015. In 2014 and 2015 with normal attrition in the third quarters of those years, our occupancy grew 60 basis points and 90 basis points versus the previous quarter. With normal attrition in the third quarter of this year, we estimate our occupancy would have grown approximately 60 basis points over the second quarter of 2016, which would added approximately $800,000 of revenue and approximately $500,000 of CFFO to our third-quarter results. Healthcare claims expense was also unusually high causing our G&A expense to increase considerably. As a self-insured plan, our healthcare benefit expense has two components, the medical claims that we incur which includes reserve for incurred but not reported claims and the income that we receive from employees related to their coverage. The income that we receive from employees is steady and predictable while the claims expense fluctuates from quarter to quarter. Since 2014, the net of these two items has averaged to be a credit of approximately $130,000 per quarter. However in the third quarter of 2016, due to an unusually high level of claims, the net of these two items was an expense of approximately $780,000. The actual variance in healthcare expense in 3Q '16 versus 3Q '15 was $985,000. There have been no changes in our healthcare plans that we offer that would account for this variance. It appears we simply had an unusually high amount of claims in the third quarter particularly in our number of individual claims at $20,000 or greater. Our healthcare benefit plan year begins in June of each year for stop-loss provisions are expected to offset some of this large claims expense in the coming quarters. As I noted previously on a combined basis, these not two non-control items resulted in a reduction in our third quarter CFFO of approximately $1.5 million, which translates into reduction of approximately $0.05 if one were to calculate this on a per share basis. It's important to note that we had a very strong finish to occupancy in September, which provided us momentum as we started the fourth quarter. In the last week of September, we had a record 288 move-ins on a same-store basis and during the month of September, attrition moderated versus July and August. Looking at some of the key details for the third quarter, the company reported total consolidated revenue of $111.4 million for the third quarter of 2016. This was an increase of $7 million or 6.7% over the third quarter of 2015. The increase in revenue is largely due to acquisitions the company made during or after the third quarter of 2015 net of a disposition made in the third quarter of 2015. During or since the third quarter of 2015 we've acquired 11 communities. Revenue for consolidated communities excluding the three communities undergoing repositioning, lease up or significant renovation and conversion, increased 7.3% in the third quarter of 2016 as compared to the third quarter of 2015. It's important to note that the 7.3% increase was achieved with fewer units available for lease in the third quarter of 2016 than the third quarter of 2015 exclusive of acquisitions due to the disposition of one community in the third quarter 2015 and conversion renovation projects currently in progress at certain communities. Our operating expenses increased $5.9 million in the third quarter of 2016 to $69.2 million, again primarily due to the acquisitions. General, administrative expenses for the third quarter of 2016 were $5.9 million compared to $4.8 million in the third quarter of 2015. Excluding transaction cost for both years, our G&A expense increased $1 million over the third quarter of 2015, all of which was related to the unusually high healthcare claims. On the same basis, G&A expenses as a percentage of revenue under management were 4.7% in the third quarter of 2016 and are 4.6% on a year-to-date basis. As we noted in the press release, the company's non-GAAP and statistical measures exclude three communities that are undergoing repositioning, lease-up of higher licensed units or significant renovation and conversion. Our adjusted EBITDAR was $38 million in third quarter of 2016, an increase of $1.6 million or 4.3% from the third quarter of 2015. This does not include EBITDAR of approximately $800,000 related to the three communities undergoing repositioning, lease-up or significant renovation and conversion. Our adjusted EBITDA margin was 35.5% in the third quarter of 2016. Adjusted CFFO was $11.6 million in the third quarter of 2016. The contribution to CFFO from communities acquired during or since the third quarter of last year was $1 million with $600,000 being incremental to the third quarter of 2016 as three of the acquisitions occurred during the third quarter of the prior year. Our same community revenue increased $1.3 million or 1.4% over the third quarter of the prior year. As noted previously due to conversion and refurbishment projects currently in progress at certain communities, there were fewer units available for lease in the third quarter of this year than the third quarter of last year, 49 units less on a same-store basis. With the like number of units available in both years, same community revenue would have increased approximately 1.8% versus the third quarter of the prior year. Importantly, units that have been out of service due to significant renovation and refurbishment are now beginning to come back online. Approximately 140 units in total were out of service in the third quarter as compared to units available for rent prior to the beginning of the various renovation projects. We completed 76 units during the third quarter in early October, which are comprised of 10 memory care units at one community and 66 assisted living units at another community and those are now available for rent and in the process of lease up. We've already experienced an outstanding response to these converted units, nine of the 10 memory care units built during October and we've either build or received deposits for 40 of the 66 AL units already. Another 18 converted units are expected to be completed and available for rent in November and we're working on another 160 plus units that we expect to come back in the first half of 2017 and additional conversions are under consideration. As Larry noted in his remarks, Capital Senior Living has a clear and differentiated real estate strategy. We're focused on executing a long-term, sustainable growth strategy with a focus on real estate ownership as a leading pure play, private pay, senior housing owner and operator. We are not a healthcare company and as a result, we are not facing the labor and other expense pressures that Brookdale and other healthcare companies are facing. Our same community expenses remain very well under control in the third quarter increasing only 1.7% versus the third quarter of last year and excluding conversion cost in both periods. Labor cost including benefits increased 2.5% in the third year, but this includes expected labor increases at communities with recent conversion to higher levels of care. Excluding those communities our same-store labor costs were up only 1.3%, continuing to confirm that we do not have the wage pressure that Brookdale with their multiple ancillary businesses and healthcare companies are experiencing and we do not expect a noticeable impact from the Department of Labor changes. We address this issue head on in 2015 and made changes at that time. In our two other major expense categories, food cost increased only 0.7% in the third quarter versus last year and utilities cost increased only 0.5%. Our same community net operating income increased 0.8% in the third quarter of 2016 as compared to the third quarter of 2015, with the like number of units in both years, third quarter NOI would've increased approximately 1.6%. Same community occupancy was 88.6% in the third quarter of 2016, which was an increase of 10 basis points from the second quarter and a decrease of 30 basis points from the third quarter of 2015. Our same community average monthly rent was up 2.2% versus the third quarter of 2015. Our average monthly rent for our consolidated communities increased 3.2% versus the third quarter of 2015. Looking briefly at the balance sheet we ended the quarter with $43.1 million of cash and cash equivalents including restricted cash. During the third quarter we received $9.3 million in net cash proceeds related to supplemental loans for three communities and we spent $17.6 million on capital expenditures. We received reimbursements totaling $2 million for capital improvements at our leased communities and expect to receive additional reimbursements as projects are completed. Our mortgage debt balance at September 30, 2016, was $873.5 million at a weighted average interest rate of approximately 4.6%. At September 30, all of our debt was at fixed interest rates except a one bridge loan that totaled $11.8 million. The average duration of our debt is approximately eight years with 99% of our debt maturing in 2021 and after. As noted in the release and as Larry discussed, we closed on two acquisitions totaling approximately $45 million in late September and are scheduled to close in a third acquisition with a purchase price of approximately $29 million tomorrow. These acquisitions bring our total acquisitions for the year to $138.4 million. We also announced that we expect to close an acquisition of four additional communities that we currently leave in January 2017 for a total purchase price of approximately $85 million. The purchase of these four lease communities is consistent with our real estate focused strategy and will increase the annual CFFO contribution of these communities to the company by approximately $1.9 million. It will also free us from annual rent escalations, will significantly increase our flexibility, related to these real estate assets and will further increase our percentage of owned real estate assets. Looking at our expectations for the fourth quarter, the fourth quarter will be positively impacted by our late September and November acquisitions which we expect to add approximately $600,000 for our fourth quarter CFFO with $1.1 million of incremental EBITDA and net of $500,000 of incremental interest expense. As in the fourth quarter of each year, the fourth quarter of 2016 will include approximately $300,000 of incremental cost related to holiday events and snow removal cost at our communities. While we expect our healthcare claims and attrition to moderate in the fourth quarter from their unusual third-quarter levels, we're taking a conservative approach related to those items in our fourth quarter projections. Also as I noted previously, we completed supplemental loans in the third quarter and anticipate closing additional supplemental loans totaling $12 million in the fourth quarter. When the proceeds from these supplementals are deployed in the acquisitions and other growth initiatives they will be accretive, but the supplemental loans will results in the fourth quarter an incremental interest expense of approximately $200,000 relative to the third quarter. Altogether we expect our fourth quarter CFFO to be relatively similar to our third quarter CFFO with potential upside with improved healthcare claims and attrition. That concludes our formal remarks and we would like to now open the call for questions.
Operator: [Operator Instructions] We do have our first question Joanna Gajuk with Bank of America.
Larry Cohen: Hi Joanna.
Joanna Gajuk: Hi. How are you? Thanks so much for taking the question here. So I want to follow up on the comment that Larry made earlier about that [additional similar] accretion from converting and renovating against the assets that you're planning combined because of those previously leased assets or did I hear it right that you already are doing something there. So it separate from what you are doing previously in terms of conversions?
Larry Cohen: Joanna it's included in our conversions. What happened is these four buildings have an average occupancy of 82.7%. They are predominantly independent living properties that we have already begun the work on converting. And we realized that at their current occupancy they are not covering rent under the leases. And at the conversions while successful and we think will add $3 million of incremental CFFO will basically get us to more of a breakeven on the rent versus gaining from the conversion for our shareholders. So we had conversations with the landlords and our landlord agreed to sell the buildings to us. We had a signed contract. We'll expect it to close in January. We are working on financing and believe it will have the financing for the acquisition. So that the immediate accretion is $1.9 million and then our projections show that when their units are completed in the first half of the year and stabilized, we expect to generate an incremental $3 million of cash flow from operations in three of those buildings.
Joanna Gajuk: Okay. But you're saying that this $3 million was already in the conversions that you were preaching talking about.
Larry Cohen: It is, but what's happening we are now eliminating the lease expense as well the escalators on those building as well as the rent and escalators we would have paid the landlord for the cost of the conversions and renovations.
Joanna Gajuk: Got it. Okay. That makes sense. Okay and then so on that topic when you talk about the $1.9 million I guess initial accretion from buying by these four leases, does that reflect of a financing of the purchase price.
Larry Cohen: Yes after financing and CapEx, that’s a bottom line number after taking into account the interest expense on the financing and then the credit we get on the rent for the purchase of the number.
Joanna Gajuk: Okay. Great. And then just briefly I guess Carey on the outlook for fourth quarter, so you're saying that because of the -- I guess some additional interest expense costs pretty much there's not going to be any sequential growth and also you assume that, I guess the attrition is not going to improve much and then I guess the healthcare cost you are more conservative there right? Because I guess historically Q4 have been an improvement from the quarter-to-quarter. So that's what I'm trying to reconcile that these are the main items that interest expense and I guess the experience in the third quarter that led you to think about fourth quarter maybe differently?
Larry Cohen: Yes, some of the seasonal expenses also that we noted and the interest expense supplemental, but we certainly expect the healthcare claims to moderate and for the -- and for the attrition to moderate, but I'm at this point until we get further into the quarter when I see that happening, we tempered our projections related to those items, so as to be conservative related to those Joanna. And so I have not baked in much of an improvement in those, but if that happens as I noted in my remarks -- if that happens, that could have -- give us some potential upside if we have improvement there.
Carey Hendrickson: And Joanna going back to your point, historically over the last two years same-store fourth-quarter occupancies sequentially improved 20 basis points in the fourth of 2015 and the fourth quarter of 2014. On the attrition we have seen obviously in September it did come down. Hopefully we'll continue, but we’re trying to give some conservative outlook for the fourth quarter. So we don't get disappointed again on things that may be of out of our control.
Larry Cohen: Yes, one of the thing I will note to Joanna about the fourth quarter of last year is that how I talked about our health care expense this year being set an expense of $750,000. Last year in the fourth quarter we had the largest credit we've ever had. We had a $623,000 credit in that healthcare expense. We've got a significant -- a tough comparison in the fourth quarter as it relates to that so just, a note on that.
Joanna Gajuk: Great, that’s helpful. I'll go back to the queue.
Operator: [Operator Instructions] And our next question comes from Chad Vanacore with Stifel.
Larry Cohen: Chad?
Chad Vanacore: Yes, hey how are you? So Larry I think you just touched on this but are you saying that we should expect occupancy to build in the fourth quarter about 20 basis points sequentially?
Larry Cohen: Historically with normal attrition that's been our experience. The financial occupancy has built 20 basis points in each of the fourth quarters of 2015 and 2014.
Chad Vanacore: Got you. All right. And then just thinking about the attrition 9.5% it seems it's not flu season, is there anything that you could point to or it's just a one-time anomaly and then how long do you estimates till you can backfill those units?
Larry Cohen: We think it’s a one-time anomaly. If you look at the raw numbers as I mentioned, we picked up in the months of July and August it’s when we got the move outs we had 437, 463 move-outs in September same-store were identical to what they were the prior year. So we have definitely recovered. We actually had a -- what’s interesting on a physical occupancy level non-financial we gained for the quarter, we gain same-store 35 units from July 1 to September 30 on a physical occupancy. The reason for the financial drop is that the move-out occurred earlier in the quarter. So the occupancy average during the quarter was lower and then as you heard from Carey, the great week was the last week of the month we didn’t get the full quota of financial impact from there. So that's why the financial occupancy with a disappointment while on physical occupancy on same-store we had 1,250 move-ins and 1215 move-outs for a net gain of 35. So the starting point for October 1 is below where we thought it would be based on the number of move-outs extra 106 for the quarter same-store and that were being little conservative in building back that occupancy trying to see what happens with the attrition. But again there's nothing that we can see from geography. You’re correct there was no flu. There was no bronchitis. There was no pneumonia. There was nothing we can point our finger to other than the fact that perhaps it was just two bad months where randomly residents have said and what’s interesting too Chad is that the reason for move-outs, we track this every month, the percentage of move-outs for healthcare, for death and every other reason was right in line as to what they are every month. So there was nothing unusual. It just was a higher volume of move-outs particularly residents passing away or moving to higher levels of care.
Chad Vanacore: Okay and then just one more for me, just to backfill that occupancy would you consider some discounting or how do you plan on getting that…
Larry Cohen: Well it’s a great question. We did do some discounting at the end of the quarter. We actually have pulled back on discounting. So going into the fourth quarter, we actually feel that we have pretty good visibility on deposits over move-outs, which are positive traffic. We actually have stopped the discounting in many of our properties for the balance of the quarter. So we're actually hoping to build back on right growth.
Chad Vanacore: All right, thanks a lot for taking the questions.
Larry Cohen: Thank you, Chad.
Operator: Our next question is from Dana Hambly with Stephens.
Dana Hambly: Hey, thanks good afternoon. Larry just the 748 units, $7.5 million of CFFO, when will those all be back online?
Larry Cohen: Okay, if you -- by the way I invite everybody to look at on new slide presentation. We spent a lot of time reformatting our message and really focusing on our pure play senior housing and real estate focus and in the slides there shows when we expect those units to come back online, the properties out of service. I mentioned 21 units came online in the second quarter that was memory care at Canton Regency. The balance of that building will come online in the second quarter of 2017 and we had a great as I said 19 of 21 units were occupied presently in one quarter which is very, very positive. So we have 273 units opening in Q2 '17 and then we have 249 units coming back online meaning -- in Q3 '17 and then the contribution obviously will be recognized as they stabilize over six to nine months.
Dana Hambly: Okay, so I can look that up in the slide deck but stabilization….
Larry Cohen: The slide 17.
Dana Hambly: Okay. Full lease up six to nine months.
Larry Cohen: Typically that's what we expect.
Carey Hendrickson: Yes, and so Dana one point on that is three of those buildings are ones that we have completely out of our non-GAAP numbers right now. So the current plan is for us to wait until those are leased up to stabilization and then we'll add them back in the complete building back and we’ll see how that goes as we move along. But the other ones, the other units that come back on other than those three as they are put back into service and as they lease up, they will impact our numbers and that's the case for the 76 that came in late September and then will come in, in early November, excuse me, in early October they came in those will impact our fourth quarter numbers so as those lease out.
Larry Cohen: I believe that we're at an inflection point as it relates to these conversions and re-positionings. They've taken a while. We’ve been talking about it, but it's great now that they are open. The response has been outstanding as you can see from the numbers consistently filling much ahead of our expectations. Properties look great. So, we are optimistic that we'll start to include more of the economics from these conversions into our reported financial number.
Dana Hambly: Okay. Alright Carey can you on the CapEx I know -- can you just remind me it runs higher this year and is it most of next year as this start to tail off in the second half of next year?
Carey Hendrickson: Its start to tail off in the second half of next year. Right now as we look at it for -- I think it'll probably be relatively similar levels but a little less in the first couple quarters next year and then it should come back I would expect to more normalized numbers in the $4 million to $5 million a quarter range for the last half of the year.
Dana Hambly: That's for the second half of '17 okay.
Carey Hendrickson: This year so far -- this year the CapEx numbers on a gross basis are larger than our net basis because it get reimbursements from some of our least partners and so on a net basis right now we've spend about $42 million this year and so may be around $50 million to $55 million of the full year on a net basis it will be more than that on a gross basis, but net our dollars it will be $50 million to $55 million.
Dana Hambly: Okay. Okay. I get that and then on the lease portfolio you run a really good margin there and the rent eats up quite a bit of that. I am just wondering what other opportunities you might have beyond the four that you just announced in the next couple of years?
Carey Hendrickson: First of all on the margin, the reasons the margin on the lease portfolio is higher is it has a higher proportion of independent living properties which operate at a higher margin. So if you look at our press release today, you can see the lease portfolio has an operating margin of 44% versus our consolidated of 40% and that's primarily because of the large number of independent living. We are having productive conversations with other landlords about opportunities to either buyback or restructure some leases and as that develops further, we'll provide more comments.
Dana Hambly: Okay, I look forward to that and just I want to make sure I am getting the modeling right. so if going into the fourth quarter typically you would see a 20 basis points increase in occupancy relative to the third quarter, but that's assuming normal attrition, but guidance is assuming a higher level of attrition going into the fourth quarter is that correct?
Larry Cohen: That's right. That's what I've assumed at this point,
Dana Hambly: Okay. Thank you very much.
Larry Cohen: Until we see the attrition fall back as we get into the quarter, I am being conservative.
Dana Hambly: Got you. So assuming attrition stays high, we shouldn’t look for much of an occupancy increase into the fourth quarter.
Larry Cohen: That's right.
Dana Hambly: Okay. Thank you.
Operator: Our next question comes from Ryan Halsted with Wells Fargo Securities.
Ryan Halsted: Hi. Good evening.
Larry Cohen: Good evening, Ryan.
Ryan Halsted: Question on the same store rent growth of 2.2% that continues to lag the NIC data. What's a good bar for your rent growth expectations for your markets?
Larry Cohen: One of the reason for the mix is the mix of independent living, assisted memory care. If you look at the raw data for the quarter, you'll see that independent living rents actually year-over-year are up 3.7%. Okay. So what happens is because of the mix of the blend of revenue coming through, it mutes the absolute change in rate from quarter to quarter or year to year because of the mix because the independent living rent is in the third quarter is at $2,700 a month versus assisted-living, which is $3,800 and memory care $5100. So it's really the blend. We still look to increase rates about 3% both the level of care charges as well as in rate. As I mentioned earlier, we do get some specials occasionally to spark some occupancy. We've cut that back. So I do think that if you look at what we look at we still and as we did again this quarter, we would like to have about 50 to 100 basis points spread between the expense growth and the rate growth and that's exactly what happened this quarter. Rate grew at 2.2% on same-store and expenses were up 1.7%. So we're managing to our plan and it's something that we look at proactively every month as we look at the rate every week and the expense management programs and we haven't systems set out the I think they are for purposes of modeling, kind of 2.5% is probably a very fair number. I will comment on NIC map that NIC map now reports actual rents. The information that NIC map had the reporting was asking rents which are typically higher. So if you look at the actual rents that NIC map now reports it's about 8% lower than asking rents. So I don't think our numbers are that different than NIC map. I just think that we're given you actual numbers versus the asking rents that NIC map has traditionally provided.
Ryan Halsted: All right. That's very helpful and then on the acquisition environment you guys are obviously moving forward with being very acquisitive while the rest of the industry seems to be moving in the opposite direction with some downsizing I guess or repositioning. What's the environment you're seeing in target?
Larry Cohen: Well first of all I like to differentiate Capital Senior Living from the rest of the industry. We have a healthier portfolio. We don't provide the healthcare side of the business. We're not taking facing a lot of wage and labor pressures. We'll have the reimbursement issues or the staffing issues, we have a lot of stability. So we're fortunate that we're not distracted by some of those challenges. We are disappointed that sometimes not controllable items like weather, healthcare claims or attrition can affect our numbers, but the core business and fundamentals are extremely sound and very strong. That being said we can continue to be very disciplined on acquisitions. To give you an idea in the third quarter of 2016, we signed 13 confidentiality agreements aggregating about $325 million of value of deals. In the first nine months we signed 43 CA's with a total value of $1.3 billion at both off market end market. We announced so far $130 million of acquisitions. So if you think about the pace we always say, we typically buy about 15% of the buildings that we underwrite, that gives us the ability to focus on our geographically concentrated regions buying very high performing, high quality recently built buildings and what's interesting, every market we buy has no new construction. That's the filter that we go through in due diligence. So there is no supply in any of those markets coming in. So we feel that we feel that we will continue to have this pace. We think we have the capital plan to find it. We have great lenders that we deal with. The other aspect of our business I would like to talk about is the supplemental loans. As Carey mentioned, we have plans for the fourth quarter. The one benefit we have of ownership of our real estate is the appreciation and the ability to go back to our lenders and take advantage of supplemental financing that have terms that are coterminous with the original loans. And in the last two years, we actually went out and took out $50.7 million of proceeds, not included what's planned in the fourth quarter on 16 properties. Those properties were purchased within three years of the supplemental and the average increase in value based on the amounts of proceeds we received from our lenders and appraisals was 43.9%. So I think that also gives a lot of confirmation and comfort that our discipline strategy is working. We are creating value in these buildings even though they are high-performing and high-quality. We put in our expense management programs, our expense management, our rate plans, our care plan etcetera. So we feel that we still have a very, very solid capital plan that can be funded from internally generated sources to continue this disciplined acquisition strategy.
Ryan Halsted: That's very helpful. Maybe just a modeling question, on G&A it sounded like there was some one-time items in there. What's the good run rate? How should we be thinking about run rate G&A as a percentage of revenue?
Larry Cohen: In the fourth quarter I would expect it to be somewhere around $5 million to $5.1 million, again depending on how healthcare claims come out. I've got if it's $5.1 million that has a little bit of improvement in healthcare claims since the best of real factor. Our G&A as a percent of revenues has been pretty consistently right around 4.5%, 4.6%. I would expect it to remain there. It was a little higher than in the third quarter at 4.7%, but I think right around that 4.6% mark it's pretty consistent with where I think it will be.
Ryan Halsted: Okay. Thanks for taking my questions.
Larry Cohen: You bet.
Operator: [Operator Instructions] And our next question comes from Todd Cohen with MTC Advisers.
Todd Cohen: Hey guys.
Larry Cohen: Hey Todd.
Todd Cohen: Hey just had a question regarding new properties and I would like to refer to the Brookdale press release, I didn't actually listen to the call or read the transcript as yet, but I thought there was kind of an interesting or odd statement that I believe it was Andy Smith may have made. He says that they grew occupancy by 40 basis points sequentially. However during the quarter we saw unprecedented number of new competitive openings in a midsize markets that caused us to fall short of our revenue expectations. So I am just wondering about that statement and how it could be to potentially relate to you guys and I don't get a sense that I don't know maybe they missed it because of all the moving parts…
Larry Cohen: Let me answer your question Todd and please look at the Slide 11 of our new company presentation. Slide 11 shows the top 10 MSAs in the third quarter according to NIC Map and the NIC Map data has changed to some of the market that Andy Smith may refer to and I'll go through each one and explain what our exposure is and where we do have properties and performances. The first one is 20% constructive versus inventory is Baton Rouge, Louisiana where we had zero properties. The second is Charleston, South Carolina 26% of properties. We had none. Austin Texas 21% of inventory, we had none. New Orleans, Louisiana 19.6% of inventory, we have none. Fort Myers Florida 18.9% of inventory, we have none. Columbus Ohio, 18.5%, we have one. 111 units that financial occupancy in the third quarter with 99%. So next to the Utah 18.2% of inventory Capital Senior Living has none. San Antonio Texas 15% of inventory we have two properties 238 units there 96% financial occupancy in the third quarter of this year. Portland Maine, 14.7%, Capital Senior Living has none and Charlotte, North Carolina, 14.2% we have one building 73 units that 86% financial occupancy in the quarter. So again we're not seeing it. I think that the evidence of the extremely strong and consistently strong demand in deposit taking and move-ins shows that there is no new supply we do a lot of analysis of these markets. we make acquisitions, but I do think that I would ask you to take a look at Slide 11 and perhaps and I can't speak for where Brookdale is reporting or where they're operating but perhaps they're referring to some of these other markets that's showing some growth in inventory. We don't see it because we do not operate in those markets.
Todd Cohen: Yes, so I guess the issue with the Brookdale statement is that I can't imagine that they weren’t aware of the competitive openings. So I guess that they just fell short given their expectations for the acceptance of these new properties in terms of…
Larry Cohen: Todd I suggest you call Brookdale Investor Relations and ask them their question.
Todd Cohen: Okay. Thanks.
Larry Cohen: Thank you, Todd.
Larry Cohen: All right, everybody. We thank you very much for your participation today. Again we are very proud of a lot of the progress we're making on multiple fronts. I ask you to take a look at our new slide presentation. It really does focus on our strategy as a pure play senior housing, owner operator with a real estate ownership focus and again we did have some non-controllable items, but overall I think our trajectory is strong and visible and we look forward to seeing many of you at various conferences over the next few weeks and feel free as always to give Carey or myself a call if you have any further questions. Thank you very much and have a great evening.
Operator: Once again, that does conclude today's call. And we appreciate your participation.